Randall Giveans: Thank you for standing by ladies and gentlemen, and welcome to the Navigator Holdings conference call for the third quarter 2025 financial results. On today's call, we have Mads Peter Zacho, Chief Executive Officer; Gary Chapman, Chief Financial Officer; Oyevind Lindeman, Chief Commercial Officer; and myself, Randy Giveans, Executive Vice President of Investor Relations and Business Development in North America. Now I must advise you that this conference call is being recorded today. As we conduct today's presentation, we'll be making various forward-looking statements. These statements include, but are not limited to, the future expectations, plans and prospects from both a financial and operational perspective and are based on management assumptions, forecasts and expectations as of today's date, November 5, 2025, and are as such, subject to material risks and uncertainties. Actual results may differ significantly from our forward-looking information and financial forecast. Additional information about these factors and assumptions are included in our annual and quarterly reports filed with the Securities and Exchange Commission. With that, I now pass the floor to our CEO, Mads Peter Zacho. Please go ahead, Mads.
Mads Zacho: Thank you. Good morning and good afternoon, and thank you all for joining this Navigator Gas earnings call for Q3 2025. As a start, I'll just review the key data from our Q3 '25 performance, and then I'll go over the outlook for the coming quarter. After that, as usual, Gary and Oeyvind and Randy will discuss the results in more detail. The quarter was, in many ways, a return to more calm waters after the unusual and difficult Q2. In Q3, we saw geopolitical tensions recede somewhat. Port fees from the U.S. and later China now seem to be gone and tariffs appear to have found their level. However, for Navigator, we still saw an impact from the trade turmoil in our Q3 trading, particularly from the significantly lower ethylene exports from U.S. to China. Oyevind is going to bring a little bit more color to this topic shortly. Please turn to Slide #4. With that background and moving to our results. In Q3, we generated revenues of $153 million, up 18% compared to the previous quarter and 8% compared to same period last year. The main driver of revenue was both higher time charter equivalent rates, but also robust utilization. We're pleased to disclose that we achieved the highest EBITDA on record at $86 million and an adjusted EBITDA of $77 million, the latter number, which excludes the $13 million of book gain from selling Navigator Gemini. You may recall that we sold Navigator Venus last quarter at a book gain of $12 million. And I think if we combine the 2, I believe it gives pretty strong credence to our estimated net asset value. The balance sheet is very strong with a cash position of $216 million at quarter end plus drawing rights, which leaves us with $308 million of liquidity. You will note on 4th November, we increased our capital return to 30% of net income from previously 25%. Similarly, we have increased the fixed dividend from $0.05 per share to $0.07 per share. This reflects our strong balance sheet and equally important, our commitment to increasing the return of capital to shareholders. Commercially, we achieved average TCE rates of $30,966 per day during Q3, which is a 10-year high and well above the just over $28,000 that we achieved in Q2. We reached a utilization of 89.3%, well above the 84.2% we saw in Q2. Average utilization was supported by a steep recovery for our ethylene spot fleet, while our semi-ref fleet stayed robust. Throughout the throughput at our joint venture ethylene export terminal increased to 271,000 tons for the quarter, roughly similar to Q2, but still below full capacity. We paid further installments on our [ Panda ] newbuilds, and we paid the first installments of the new 2 ammonia-fueled vessels that we have chartered out to Yara. Due to our balance sheet strength, the contract cover and robust financing markets, we expect to finance all of our newbuilds at attractive margins and loan to value. So they'll tie up limited equity capital and be earnings accretive from delivery in 2027 and 2028. While I already covered the sale of Navigator Gemini, I should mention that you should expect to see more sale of older vessels that will enhance earnings over the coming months. Headwinds experienced in the first half of '25 have eased but not disappeared. We hope to see more stable market conditions going forward when geopolitical uncertainties ease. As a result, we expect both utilization and average TCE rates to remain near Q3 '25 levels. And we're noting both September '25 and October '25 utilization were above 90%. Now we can't really predict the outcome of trade discussions between the U.S. and trading partners such as China and much can still change. But with the diversified customer base we have, the trading capability and the strong balance sheet we have, we remain resilient even if the geopolitical situation takes an unexpected turn. And with that, I'll just hand it over to Gary, who will talk a little bit more about our financial results. Go ahead, please, Gary.
Gary Chapman: Thank you very much, Mads, and hello, everybody. During this quarter, as Mads mentioned, we've continued to experience headwinds from geopolitics that have affected our markets. So it's very pleasing to us to be able to report strong results despite this backdrop and compared to the results we delivered in the previous second quarter of this year. These results are a function of many things, including our cargo diversification, our geographical flexibility, our market position, our strong financial foundations and very importantly, as a result of the people side of our business being our colleagues here internally and also the strength and depth of our customer relationships and market knowledge. And arising from this, our third quarter 2025 results are the best so far this year, and some data points are even record-breaking for Navigator, where we've been able to push charter rates and maintain utilization, supported by our operational flexibility and efficiency and our cost controls. On Slide 6, we report the highest quarterly TCE in the last 10 years of $30,966 per day, leading to quarterly net operating revenue of $133 million and our highest quarterly EBITDA on record of $85.7 million. The high TCE this quarter was primarily due to the performance of our ethylene vessels and our semi-refrigerated handysize fleet, supported by a solid performance from our fully refrigerated and midsized vessels. Utilization was 89.3% in the third quarter, practically at our preferred benchmark of 90%, which is down 2% compared to the second quarter of 2024, but up 5% compared to the second quarter of 2025. In this third quarter, we sold another of our vessels, the Navigator Gemini, as Mads has mentioned, for net proceeds of $30.4 million, resulting in a book gain of $12.6 million, which demonstrates our ability to refresh our fleet on both buy and sell sides as opportunities arise. Excluding this gain from EBITDA as the main difference, we get to an adjusted EBITDA result of $76.5 million, considerably above the still respectable $60 million we posted in the second quarter of this year. Vessel operating expenses were up compared to the third quarter of 2024 at $49.3 million, with the increase primarily driven by the net increase in our fleet size following the purchase of 3 secondhand vessels in the first quarter of this year, which you can see is reflected in the table shown bottom right, as well as simply the timing of maintenance costs incurred. We expect to close the year on or close to budget for our OpEx costs, adjusting for the extra vessels, and we'll see our guidance on Slide 9 shortly. Depreciation is slightly down compared to previous quarters despite our now increased fleet, mainly due to 2 older vessels that have reached the end of their accounting life during the quarter, and hence, no longer will be depreciated. Unrealized movements on non-designated derivative instruments resulted in a loss in the third quarter of $2.6 million. This being related to movements in the fair value of our long-term interest rate swaps, which affects net income, but which has no impact on our cash or liquidity. Our income tax line reflects movements in current tax and mainly deferred tax in relation to our equity investment in the ethylene export terminal and in relation to the Navigator Aries, which was sold on October 1, 2025, to another group company. And under U.S. GAAP accounting rules state that intra-group sale required us to recognize an associated deferred tax liability at September 30, 2025. The ethylene terminal throughput volumes in the third quarter of 2025 were solid at 270,594 tons, up from 268,000 tons in the previous quarter, resulting in us recording a profit this quarter of $3.3 million. But overall for the third quarter of 2025, net income attributable to stockholders was $33.2 million, which is our highest quarterly net income on record, with basic earnings per share of $0.50, which is our highest quarterly EPS in the last 10 years. Our balance sheet, shown on Slide 7, continues to build and be strong with a cash, cash equivalents and restricted cash balance of $216.6 million at September 30, 2025, which if you include our available but undrawn revolving credit facilities, gives us total available liquidity of $308 million at the same date. This is despite paying out $31 million for scheduled loan repayments, $5.4 million under our return of capital policy in respect to the second quarter of 2025, $37 million as payments for our vessels under construction and a further $20.4 million of share buybacks as part of the $50 million share repurchase plan that we've just executed. Our liquidity in the quarter was also boosted by the $30 million net proceeds from the sale of the Navigator Gemini, which completed in September. It's worth noting that our investment in the Morgan's Point terminal on our balance sheet sits at an equity value of $252 million. It is almost fully unencumbered now with only $4 million of debt remaining, which will be repaid in December this year. Alongside this, we paid from our own cash a total of $99 million at September 30, 2025, towards the vessels we have under construction. The small difference to the balance sheet figure represents capitalized interest under U.S. GAAP. I think the unencumbered terminal and the construction payments made from our cash on hand, together with still a growing liquidity profile are further reflections of the financial stability and strength that Navigator is able to demonstrate. And to bring you up to date, including our available but undrawn revolving facilities, we continue to have over $300 million of liquidity at the close on November 3, 2025. On Slide 8, we show a summary of the main capital events across the quarter where with a very supportive banking group and a strong underlying business, we were able to return capital to shareholders, boost our liquidity and continue to work towards managing our debt financing needs and interest rate risk. Following 2 particularly active quarters this year, during which the company successfully entered into new secured term loan, refinanced 2 existing loan facilities and issued a $40 million tap of our existing senior unsecured bonds. This quarter, we completed a full $50 million share repurchase plan that commenced in the second quarter of 2025 with a total of 3.4 million shares repurchased at an average price of $14.68 against the company's estimated net asset value of around $28 per share. We also returned 25% of net income to shareholders in respect to the second quarter of 2025, $2.1 million of share buybacks and $3.3 million as a cash dividend of $0.05 per share. And as announced, we will now return 30% of net income in respect of this third quarter of 2025, which Randy will cover in more detail shortly. But we think the uplift in the return of capital policy strikes the right balance at this point, rewarding our shareholders with higher returns while ensuring that our steps here are considered and sustainable. In addition to our scheduled repayments, we now only have 2 small debt balloons due in the next 24 months with payments due in 2026 of $54 million in total. And on the right side of this slide is a summary of our main debt movements across the last quarter. Our next priority is to close financing in relation to our now 6 newbuild vessels, and this work has already started with the transactions being pursued. We're currently targeting to complete the finance for all 6 vessels in the early part of 2026. And I'd like to thank all of the finance partners who have worked with us so far on this, and we look forward to being able to report on a successful outcome when this work is all done. In this third quarter, we further strengthened the company's interest rate hedging position, whereby we entered into 2 interest rate swap agreements to boost our fixed rate position and reduce our exposure to variability in interest rates and interest expenses associated with our variable rate borrowings. And as of September 30, 2025, 59% of the company's debt was either hedged or on a fixed interest rate basis with 41% open to interest rate variability. And whilst we keep the subject under close review, we believe this split of fixed to floating is about the right balance for the company at this time, such that if U.S. dollar rates fall, we can to a degree, benefit, but we are majority protected, should rates rise. We continue to make substantial loan repayments with $31.3 million in this third quarter, and we have an average of $122 million of annual scheduled pro forma debt amortization per year across 2025 through 2027, with our net debt adjusted EBITDA last 12 months sitting at a comfortable 2.6x as of September 30, 2025. In addition, our net debt to our on-water fleet value resulted in a loan-to-value LTV of 33%, which falls below 30% if you include a reasonable value against our Morgan's Point terminal. On Slide 9, showing again our estimated all-in cash breakeven for 2025, which at $20,510 per day per vessel is significantly below our average TCE revenue for this third quarter of 2025 of $30,966 per day. The difference or headroom this quarter being over $10,000. The graph bottom left shows how this headroom has developed over the last few years, and you'll see in there the consistency of our business, particularly over the last 4 years, but even going further back. The all-in breakeven rate includes forecast scheduled debt repayments and our scheduled dry dock commitments. And the latest figure here is materially unchanged from the estimate we provided in our last earnings call back in August 2025. On the right is our updated OpEx guidance for 2025 across our different vessel size segments, ranging from $8,050 per day for our smaller vessels to $11,100 per day for our larger, more complex ethylene vessels. This guidance also remains materially unchanged from our last quarterly call in August 2025. And following below that is further next quarter and full year guidance across vessel OpEx, general and admin costs, depreciation and net interest expense in dollar terms. The full year guidance for vessel OpEx towards the bottom is now slightly lower than in total than previous guidance given in August as we have 1 less vessel across the remainder of 2025. And net interest expense is also a little lower than previous guidance given at that same time. However, both are materially unchanged. Slide 10 outlines our historic quarterly adjusted EBITDA, adding this third quarter's strong results. On the right side, as we have done before, we show our historic adjusted EBITDA for 2024 and our last 12 months adjusted EBITDA. In addition, the EBITDA bars then to the right provide some sensitivity and continue to illustrate as we have done in the past, but an increase in adjusted EBITDA of approximately $19 million, all other things being equal for each $1,000 incremental increase in average time charter equivalent rates per day. And then finally, an update on our vessels dry dock schedule, projected costs and time taken can be found in the appendix, Slide 30. And I'll leave you to look at that if you would like. But for now, I'm going to hand you over to Oyevind to provide an update on the commercial picture. Thank you very much, Oyevind?
Oeyvind Lindeman: Thank you, Gary, and good morning, everyone. Let's turn to Page 12 for the rate environment. I'd like to start off with echoing Mads and Gary, who mentioned earlier that the 10-year record average TCE and utilization is climbing back above 90% tells me one thing; the second quarter was a one-off, and we're back more or less on track. Now while uncertainties around U.S. and China trade and tariffs are still hanging over us, trade has picked up elsewhere to compensate. We've seen tremendous growth in demand for semi-refrigerated LPG vessels out of the Middle East in recent months. Iraq has ramped up both production and export capacity and is now taking in additional handysize vessels to cover the demand. At the same time, a steady stream of handysize ships has been moving butadiene from the U.S. from Brazil and from Europe to Asia, either via Cape of Good Hope or the Panama Canal. Together, these flows have tightened the supply-demand balance in the segment, pushing rates and utilization higher. That trend is shown in the dark and light blue lines in the graph. Of course, we have more vessels in the semi and fully refrigerated segments totaling 29 compared to 15 in ethylene, the positive momentum that I just mentioned carries more weight on our overall TCE and utilization numbers. On the ethylene side, lingering trade and tariff uncertainty has softened rates by about $2,500 per day. Traders remain cautious, hesitant to commit to long-haul ethylene cargoes. Remember that it can take more than 2 months from contracting a ship until it discharges in Asia, which is a long time if one is worried about potential tariffs coming. Instead, we're seeing a more active shorter-haul voyages to Europe, which carry less tariff risk and are perceived as safer from a trade perspective. I'll touch a bit more on these nuances in the next few slides. If we look at Page 13, you can see the recent increase in our LPG earnings days. LPG accounted for 42% of our demand during the quarter, the highest share since first quarter of 2023, while petrochemicals remained the largest segment at 44%. The benefits of our flexibility to switch between cargoes and trades are further highlighted on Page 14. In the bottom left graph, utilization for our semi-refrigerated vessels climbed to 98%, meaning that effectively all our semi-refrigerated vessels were employed during the quarter with almost 0 idle time. This is driven mainly by the stronger LPG demand and also the fully refrigerated fleet shown on the bottom right, saw incremental demand both from LPG and importantly, also long-haul butadiene cargoes. It's been 5 years since our fully refrigerated vessels were employed in what we call easy petrochemical trades. As mentioned, the segment still feeling the effects of trade and tariff uncertainty is our ethylene-capable vessels. You can see in the top right graph that utilization for these vessels are averaging around the 85% level. Overall, though, for the fleet, utilization for third quarter was about 5 percentage points higher compared to the second quarter. On Page 15, we take a closer look at quarter-on-quarter U.S. exports and ethylene to Europe and Asia on handysize vessels. Since April, U.S. exports of ethane and ethylene have been impacted by trade uncertainties. It is interesting to note that shipments to Asia Pacific have halved from averaging 195,000 tons per quarter to averaging 97,000 tons per quarter. Conversely, European imports are up 30% when doing the same comparison. This suggests Europe has structural short and is plugging it with U.S. volumes, whereas Asia remains more opportunistic and is more sensitive to external factors. Turning to Page 16. Here, we track the U.S. ethylene arbitrage. Right now, it is open to Europe at around $200 per ton, which works. So exports continue to flow across the Atlantic, but the Asia arbitrage at roughly $250 per ton is harder to make work. As a result, and for the time being, most of Morgan's Point ethylene exports are heading to Europe. On the supply side on the next page, there are only minor changes since our last presentation and none that materially affects the handysize segment. The order book remains low. So to summarize, trade and tariff uncertainties between U.S. and China are still influencing parts of our trades. But despite that, we delivered a very solid quarter. The flexibility of our fleet allows us to capture opportunities across multiple trades. The fourth quarter has started in line with how September ended, which suggests a degree of normalization, especially when it compared to the second quarter. Happy to take more questions on this after, but first, the one and only Randy Giveans, the floor is yours.
Randall Giveans: Thank you, Mr. Oyevind. Following up on several announcements we made in recent months, we want to provide some additional details here and updates on our recent developments. So starting on Slide 19, we're pleased to announce our new and improved return of capital policy that is effective immediately, which includes a fixed quarterly cash dividend of $0.07, up 40% from $0.05 per share, but that's not all. We want you to have your cake and eat it too. So we're also increasing the payout percentage to 30%, up from 25% of net income. Now before we go further into that, I want to highlight that during the third quarter and specifically as part of our return of capital policy, we repurchased almost 130,000 common shares of NVGS in the open market, totaling $2.1 million for an average price of around $16 per share. Now looking ahead, in line with our new return of capital policy and the illustrative table below, we are returning 30% of net income or a total of almost $10 million to shareholders during this fourth quarter. The Board has declared a cash dividend of $0.07 per share payable on December 16 to all shareholders of record as of November 25, equating to a quarterly cash dividend payment of $4.6 million. So in order to get your $0.07 dividend, do not wait until Black Friday or Cyber Monday to buy some NVGS shares as the record date is prior to Thanksgiving. Additionally, with NVGS shares trading well below our estimated NAV of $28 a share, we will use the variable portion of this return of capital policy for share buybacks. As such, we expect to repurchase $5.4 million of our shares between now and quarter end, such that the dividend and share repurchases again equal $10 million this quarter. Now continuing on the topic of share buyback, let's turn to Slide 20. During the first quarter, as you all know, we announced a new $50 million share buyback program back in May. As you can see, the announcement was not just a positive headline. We immediately put it to good use and completed the program in July after repurchasing 3.4 million shares at an average price of $14.68 per share. Now as you can see in the bottom left chart, we've historically had around 56 million shares outstanding for many years, and that was up until the merger with Ultragas back in 2021, in which we issued 21 million shares in exchange for the 18 vessels. Now since peaking around 77 million shares 3 years ago in December of 2022 and including those aforementioned share buybacks coming in the next few weeks, we'll have repurchased more than 12 million shares totaling $174 million for an average price of around $14.20 per share. Now additionally, by year-end, we'll have paid out $36 million of cash dividends for a total of $210 million of capital returned to shareholders over the past 3 years. So this equates to $3 a share, which is greater than a 20% return during that time. So as seen over the last few years and demonstrated again today with our increased return on capital policy, I want to look you squarely in the eyes and reiterate that returning capital to shareholders will remain a priority for us going forward. Now turning to our ethylene export terminal on Slide 21. Ethylene throughput volumes have remained strong, reaching 270,000 tons during the third quarter. To note, following first quarter very low throughput, volumes increased substantially and the Flex Train was utilized in both the second and third quarters. Now looking at the bottom right chart, U.S. ethylene prices fell during the third quarter, resulting in multiple ethylene spot cargoes being completed to both Europe and Asia. And although the internal spreads have tightened temporarily entering the fourth quarter here, the longer term outlook is for U.S. ethylene prices to stay at an attractive level around $440 per ton in the coming quarters and years. As for the contracting of the expansion values, we're still in active dialogue with multiple new customers for potential offtake contracts. As such, we continue to expect that additional offtake capacity will be contracted in the coming months, but the global uncertainty we've seen, and as Oyevind mentioned earlier, has slightly delayed some of our customers from making those longer-term commitments right now, but stay tuned. Now turning to our fleet on Slide 22. Our fleet renewal program continues to be implemented as we sell our older vessels and replace them with more modern tonnage. Now starting with the divestiture. As you've heard in September, we completed the sale of the Navigator Gemini, a 2009-built 20,750 cubic meter gas carrier to a third party for over $30 million, resulting in a $12.6 million profit. That was our sixth vessel sale since January '22, and we continue to engage buyers who are showing interest in acquiring other older assets, as Mads mentioned earlier. Now on the purchase side of the equation, in October, a few weeks ago, we acquired an additional 15.1% ownership in each of the 5 vessels owned via the Navigator Greater Bay joint venture for a total of $16.8 million, and that was paid from cash on hand. Based on an average of the last few years, this additional ownership should increase our net income by around $3 million per year. So a very attractive return on investment. Now as a result of our recent sale and purchase activity, our current fleet is now 12.4 years of age with an average size of 20,818 cubic meters. To note, we continue to upgrade our vessels with various energy savings technologies. And starting in 2026, we'll be rolling out new artificial intelligence, or AI, programs to make our fleet even more efficient. Now looking at Slide 23. Our average fleet is set to decrease further while our average vessel size is also set to increase. In July, we announced a new joint venture in which we'll own 80% and Amon, our partner in Azane Fuel Solutions will own 20% of 2 new 51,000 cubic meter ammonia-fueled liquefied ammonia carriers. The newbuildings are scheduled to be delivered in June and October of 2028 at a price of $87 million each. Now importantly, each vessel will receive a NOK 90 million or USD 9 million grant from the Norwegian government agency, Enova, resulting in a net price of $78 million. And assuming 70% LTV debt financing, we expect the total equity needed to be only $17 million per vessel, and that will be split between us and Oman. To note, these ice-class newbuilding vessels will be the largest in our fleet. They'll have dual fuel engines for clean ammonia and be able to transit through both the old and new Panama Canal locks. Additionally, each of the vessels will be employed on a 5-year time charter upon delivery to Yara Clean Ammonia. Lastly, in terms of vessel financing and future capital requirements, we've included an illustrative CapEx table on this slide. We paid the first 10% shipyard deposits in August, and we're currently targeting to complete financing arrangements in the early part of 2026. Now finishing on Slide 24. I want to personally invite you to our 2025 Analyst Investor Day happening next week here in Houston, Texas. On Tuesday afternoon, we'll be hosting our Morgan's Point tours at the ethylene export terminal in one of our vessels. Tuesday evening, the management team and Board of Directors will host a dinner for our analysts and investors. The following day, on Wednesday, we'll host company and industry presentations covering current market trends, a financial update as well as our medium-term strategy. We'll then have lunch followed by an appreciation event for our analysts, shareholders, customers and partners. So let me pull up the weather here. And yes, the forecast seems to match our outlook, warm and sunny. So we hope you can join us next week. With that, I'll turn it back over to Mads.
Mads Zacho: Thanks a lot, Randy. Q4, as you can see or that we've indicated with our utilization numbers has come off to a robust start, and we are currently seeing a gradual normalization of our operating environment. If we don't see any further geopolitical surprises, we think we are back on our previous trajectory. This will be driven by the continued growth in U.S. natural gas liquids production and the significant build-out in U.S. export infrastructure over the next 4 years. We expect that this will support exports of natural gas liquids and thereby also transport demand for the products that we carry. The vessel supply picture remains attractive with small handysize order book, which is low and also an aging global fleet. We'd like to leave you with the impression that return of capital is very high on our list of priorities, and this is why we've decided to increase our earnings payout and our fixed dividend. We have a little bit of work ahead of us in terms of financing our 6 newbuildings. Financing markets are competitive and Navigator is a good credit. So we expect competitive terms. We'll continue to renew our older vessels so that you should expect to see more earnings-enhancing vessel sales, but potentially also further consolidation initiatives whenever accretive vessel acquisition opportunities are rising. So thanks a lot for listening. Back to you, Randy, and for some Q&A.
Randall Giveans: Thank you, Mads. [Operator Instructions]
Christopher Robertson: This is Chris Robertson at Deutsche Bank. Happy to be on my first inaugural call here since launch. I had a couple of questions for you guys here. So one, in the dry bulk space and in the tanker space, we've seen a few companies target either net debt 0 or net debt below kind of the scrap value of the fleet. I was wondering, just in general, how you guys think about the net debt position over time as it relates to lowering breakevens and kind of what the general strategy would be over the long run?
Mads Zacho: Yes. Maybe I can kick us off and then Gary, you can take over. But in general, I think we have a comfortable balance sheet right now. I don't think there's any reason for us to go to a net debt zero position. We are in a capital-intensive business. We do see financing markets, which are very competitive, and we can source debt at attractive cost. I think it is to the benefit of our shareholders, the equity holders to have some debt on the balance sheet in order to enhance returns. We have 2.6x net debt to EBITDA right now. I think we could even carry a little bit more, but overall, I think we're in a good position.
Christopher Robertson: My next question is more just general market related. I think there's some prevailing fear in the market with low oil prices that will impact U.S. oil and gas production, and therefore, translate into lower NGL and LPG exports. So if you could comment on what you're seeing on the upstream side, just in terms of the dynamics domestically to continue to support NGL production, which specific kind of gas fields people are looking at? I think Enterprise has been out there with some commentary as well around their positive outlook here. So just some commentary to maybe assuage some fears in the market that around low oil gas prices.
Oeyvind Lindeman: Yes. We'll give more details on that in the Investor Day next week, but in short, generally, in our conversations with Enterprise and other midstream companies here in the U.S., then they are all very confident for NGL production, the midstream part specifically, which is also export terminals and hence, for us, export volumes. So over the next 5 years up to 2030, the graphs that we have seen are pointing upwards in terms of NGL production, which is then ethane and propane and butane, which is important to us. And we believe that most of those infrastructure projects to support that growth are already been FID-ed. They're under construction. Most of them are under take-or-pay. So that brings some comfort to us in talking about the next few years in terms of volume growth from the U.S.
Omar Nokta: This is Omar Nokta from Jefferies. Thanks for the update. Always a lot of good detail and information. Just had a couple of questions. Maybe just perhaps on the capital allocation. You've been very clear, especially with this call that that's a key part of the dividends and buybacks are a focal point of the strategy going forward. But just wanted to get a sense from you in terms of what drove you to do this bump here from, say, a 25% to 30% payout and the $0.05 going to $0.07. I know it's not perhaps maybe a big change in the grand scheme but just what drove that? And can we expect perhaps that this base payout will grow over time?
Mads Zacho: Yes. Maybe I can kick us off and then I'll ask my colleagues to chime in. It is -- we think over time, we should be growing our payout. What we paid out so far, it's a good decent dividend, but it's not a high dividend. We have the financial strength, and we have the operating cash flow that can support the payout that we are increasing it to now. And I think also bar, difficult market situation, geopolitical tension and trade wars, et cetera, we should be in a position where we could support higher payouts in the future also. Now that said, this is, of course, always a Board decision, but you can see the trend in the cash flows that we have delivered, and you've seen the trend in our debt that we paid down over time. So we will -- if we do nothing see and markets stay as benign as they are right now, you'll see a gradual buildup in our capacity to pay out dividends. So I think any good company should strive towards having a stable but growing payout over time.
Gary Chapman: Yes. I think in addition, Omar, I mean, from my perspective, I mentioned in my commentary there that what we want to do is be sustainable and be fairly predictable as a business. And we do want to do all of those things that Mads has just said around growing our distribution. I think also getting the balance. We've done a lot of buybacks. Our share price has been where it is, and we believe that's very cheap. So we've been doing a lot of buybacks in the background. And I think Randy illustrated really well the strength of returns to shareholders that we've actually done over the last 3 years, albeit not all of it in cash direct back to shareholders. So I think we're trying to strike the right balance in that as well. But certainly, as Mads said, we'd certainly be looking to do more in the future, all things being equal and if the business keeps going in the way that we think it's going to.
Randall Giveans: Yes. And quickly on the scale, we went back and forth between 6%, 7% in terms of the dividend, but went up to 7%. Obviously, we're going for more there. But we also don't want to cannibalize the buybacks on a quarterly basis. So obviously increasing that payout percentage to 30% as well.
Omar Nokta: Got it. And then maybe just one follow-up I had is, Randy, you mentioned in the Greater Bay $16.8 million in the fourth quarter to pay for that step-up in ownership, which will maybe yield, say, $3 million in net income annually. Not a bad return, fairly, I would say, decent. Just I guess, in terms of going forward with that joint venture, is there a mechanism to get that to the full 100% ownership for Navigator? Is that something that you aim to do, if possible?
Mads Zacho: The ownership, we don't have a mechanism you could say that mechanically will increase it. We would probably be looking to continue that discussion with our partner. We are very happy with our partner, Greater Bay. We think they give us a good inroad into the Chinese market and to opportunities that arise both with Chinese shipyards, but also business in the region. So I think we have a great interest in sustaining the partnership that we have with them. But of course, we control the vessels, we operate them. So we do consider them, you could say, an integrated part of our fleet.
Omar Nokta: Okay. All right. Great. And then final one, and Gary, I think I may have asked you this perhaps last quarter, the one before, but just on the terminal, as you were highlighting in your opening remarks, it's held, I think, you said $252 million. You've got a final $4 million debt to pay off here in the fourth quarter, and then it's owned debt free. Just as you mentioned, looking to lock up financing for the new buildings, but what do you think about this -- about the terminal itself, given the long-term sort of contract nature of that business, it sort of lends itself perhaps to a nice financing package. What are you thinking? Is this something that you expect to finance in '26 or do you still want to own it fairly debt-free?
Gary Chapman: Yes. I think what we've said before probably still stands and to a degree, goes back to a little bit maybe what Chris was talking about with our net debt being 0. I think the terminal itself, if we do put finance on it, it's not, at this stage, going to be cheaper financed than our vessels, and we've got vessels that we can use as collateral and raise money on those. So I think at the minute, we're not in a rush to do that. I think part of me raising it in this call as well is just to remind folks that it is there. It's substantial. And we don't, at the moment, leverage that asset on a financial basis, but it is a substantial asset for us as a business, and it's returning pretty good money over the long term. To answer your question, we probably will put finance on it at some point. I mean one of our strategic aims is to expand our port-to-port, if you like, business in terms of it supporting our shipping. So if another Morgan's Point opportunity came along somewhere else, then we may look at that, and that may be a really good opportunity to take the money out of that project and maybe put it into a new project. But at this moment, it's not top of our priority list, but it's certainly available to us, and we've had no shortage of people wanting to come and talk to us about it, put it that way.
Unknown Analyst: Most has already been covered, but I want to ask you a modeling question. In the press release, total outstanding CapEx for newbuild additions is quoted at $480 million. And I was wondering, does it include 80% or 100% of the total CapEx associated to the ammonia and newbuild carriers? And secondly, is the $480 million figure net of the Enova grant?
Gary Chapman: If you're referring to CapEx, then that will be the gross cost of the vessel, we would show financing separately to that. I'd have to go back and just check that number and make sure what's in and what's out. But essentially, we have put in the CapEx payable to the yard, not the sources of funds. So I can come back to you after this call and clarify with you, but I would expect that, that number is the gross cost of the vessels.
Unknown Analyst: Yes. But I mean, is that only your proportionate amount that you need to put in or does that include also your partners?
Gary Chapman: That would be our commitment.
Unknown Analyst: And final question from me. Could you remind us what's your proportionate depreciation run rate on the ethylene export terminal?
Randall Giveans: Yes. On an annual basis, the initial terminal is coming down by about for us, a little over $3 million per year. And then on the expansion, it's another $2 million or so. So we use about $5 million a year. Gary, target for financing the newbuildings in terms of size. Is there a goal to finance all remaining newbuilding costs or payments due on delivery?
Gary Chapman: Yes. We're looking to answer that question right now. We've got some proposals out with various potential lenders. We're looking at a range of things to try and look to have an average LTV across all of the 6 vessels. We're not in a position where we need to over leverage those vessels but obviously, in the competitive banking market that we're at, at the moment and with Navigator's credit, we can push that a little bit higher than perhaps normal. So I think we're not going to be in very high leverage territory on average across all the 6 vessels, but maybe we'll have a difference between some of the vessels under different deals and transactions. Sorry, Randy, I don't have the question in front of me, so I'm not sure if I answered that.
Randall Giveans: No, I think that covered it. And Paul, feel free to reach out to me, and we'll chat after this call but thanks again. Mads, last words?
Mads Zacho: No. Thank you so much for listening in. I hope you got the impression that our laser focus is on ensuring that capital is returned to our shareholders. And with the Q3, the strength of the results here and the robust outlook for the next quarter or so that, that capacity should be sustained. So look forward to seeing you all in Houston. And I guess, Randy, you have another comment here.
Randall Giveans: One more question. Charles, I think your line should be open now -- Chad, sorry.
Unknown Analyst: Can you hear me now?
Randall Giveans: Got you, Chad.
Unknown Analyst: Great. So just on charter rates, moved to record levels in your business. I know it's early, but any insights on how 2026 is shaping up from a charter rate perspective? And any reason why this momentum that you've seen can't continue into next year?
Oeyvind Lindeman: I think I'm going to lean on Mads comments. Barring external changes in tariffs or geopolitics, et cetera, et cetera, then the supply-demand balance looks positive, meaning that there are not that many ships coming, there's more growth in demand. So we remain optimistic on that. But the caveat is like we've seen this year, many things can happen that influences the business. But all things being equal, I think we're ending the year on a good note, as we mentioned, and then preparing for next year.
Unknown Analyst: Okay. Got it. And then just on Morgan's Point contracting, what are the remaining items that potential customers kind of need to clear to start signing contracts? And is this a situation where we could see several come in quick order once kind of the first one gets signed?
Randall Giveans: Yes. Thanks for the question. The first is securing supply domestically. I don't think that's a huge issue, right? We are oversupplied in ethylene here in the U.S. So on the other side, it's securing buyers. Now we're hearing about and seeing firsthand that European rationalization taking place where older, less efficient ethylene crackers are being shut in. So that has to be replaced. And a lot of that will be replaced by direct imports of U.S. ethylene. So that won't happen tomorrow, right, but it certainly has been happening in recent months and will continue in the coming quarters. To answer your second question, we believe so, right? We have term sheets out to several, I won't give you the exact number, but several potential offtakers. And I think once 1 or 2 sign, the others will quickly come as well because there is some scarcity here, right? There's a limited amount of offtake that is available. Sorry I cut you off there, Mads. Now we're done.
Mads Zacho: No, no. Yes. Good. Thanks a lot, and I look forward to updating you all on our next quarterly call. And in the meantime, I hope many of you will join us in Houston in next week too, so we can show our terminal, our vessels and our plans for the year to come.